Operator: Good day, and welcome to the Synaptics Inc First Quarter Fiscal 2021 Financial Results Conference Call. [Operator Instructions] Please be advised today's conference is being recorded. I would now like to hand the conference over to your first speaker for today, Mr. Jason Tsai, Head of Investor Relations. Thank you, sir. Please go ahead.
Jason Tsai: Thank you. Good afternoon and thank you for joining us today on Synaptics' first quarter, fiscal 2021 conference call. My name is Jason Tsai and I am the Head of Investor Relations. With me on today's call are Michael Hurlston, our President and CEO and Dean Butler, our CFO. This call is also being broadcast live over the web and can be accessed from the investor relations section of the company's website at synaptics.com. In addition to a supplemental slide presentation, we have also posted a copy of these prepared remarks on our investor relations website. The supplementary slides have also been furnished as an exhibit to our current report on form 8-K filed with the SEC earlier today and add additional color on our financial results. In addition to the Company's GAAP results, management will also provide supplementary results on a non-GAAP basis, which excludes share-based compensation, acquisition related costs, and certain other non-cash or recurring or non-recurring items. Please refer to the press release issued after market close today for a detailed reconciliation of GAAP and non-GAAP results. Additionally, we would like to remind you that during the course of this conference call, Synaptics will make forward-looking statements. Forward-looking statements give our current expectations and projections relating to our financial condition, results of operations, plans, objectives, future performance and business, including our expectations regarding the potential impacts on our business of the COVID-19 pandemic. Although Synaptics believes our estimates and assumptions to be reasonable, they are subject to a number of risks and uncertainties beyond our control and may prove to be inaccurate. Synaptics cautions that actual results may differ materially from any future performance suggested in the Company's forward-looking statements. We refer you to the Company's current and periodic reports filed with the SEC, including the Synaptics Form 10-K for the fiscal year ended June 27, 2020, for important risk factors that could cause actual results to differ materially from those contained in any forward-looking statement. Synaptics expressly disclaims any obligation to update this forward-looking information. I will now turn the call over to Michael.
Michael Hurlston: Thanks, Jason, and I'd like to welcome everyone to today's call. We had a strong start to our fiscal year as our ongoing efforts to drive better financial performance for Synaptics resulted in strong revenue growth in the first quarter of our fiscal 2021 with the highest gross margins in more than seven years and the highest operating margins in six years. We completed the acquisitions of DisplayLink and Broadcom's wireless IoT connectivity business early in the quarter and have completed both integrations. We are pleased with the initial performance of these two acquisitions and we are already seeing better than expected revenue as well as robust design-win pipelines. Now let me give you an update on our business. In IoT, as we talked about last quarter, the ongoing effects of the global pandemic have driven additional opportunities in our business as our customers accelerate new product introductions to drive greater efficiency for enterprises and deliver premium experiences to consumers at home. We are supplying a broad range of products that enable our customers' devices, including our new DisplayLink video interface solutions, audio chipsets and edge-SoC processors that feature far-field voice and echo cancellation. Powered by Synaptics, new solutions from Dell, Google, Logitech, Bose and Poly help remote teams collaborate more effectively with robust, feature-rich teleconferencing solutions. Our digital audio solutions are seeing strong demand with premium headsets that primarily serve enterprise customers. We are also seeing service providers accelerating product development in order to offer video conferencing and enhanced entertainment products to their customers. Last quarter, we announced wins at two US service providers and we have now added two more, one in Asia and one in Europe, adding to our momentum in devices that have 4K video and premium Dolby audio capabilities. Both design wins will start shipping in the first half of the next calendar year. In the quarter, Google also began shipping its new Nest Audio smart speakers that are powered by our edge SoCs with AI. In our new wireless connectivity business, demand for our Wi-Fi, Bluetooth, and GPS chipsets for the IoT market is extraordinarily strong and our design pipeline continues to grow rapidly. The range of products our connectivity solution has been designed into is truly remarkable and includes video enabled doorbells, security cameras, over the top streamers, smart displays, smart watches and even e-bikes and drones. As we said earlier, this business is off to a great start, exceeding our initial projections and we believe it will generate significant growth for Synaptics in the years to come. The combination of best in class wireless performance and ultra-low power that comes from chips initially designed for mobile phones has given us a significant leg up on competition as we enter this market. In mobile, our OLED touch controllers continue to do very well, winning virtually every new design by major handset OEMs using flexible on-cell OLED panels, including new wins at Oppo and OnePlus. We expect more than 10 new smartphones will come to market with our OLED touch controller over the next few months. We also had our major handset OEM announce their new flagship phones last month powered by our OLED touch controller. We expect flexible OLED based smartphones to become the dominant panel technology for smartphones over the next several years and as a result expect the penetration of our touch solutions to increase. During this transition we believe that LCD based smartphones will continue to hold a stable base and remain an important part of the portfolio longer-term as we continue to engage with our customer on new designs. We are confident that we are positioned well with leading smartphone OEMs around the world to continue to win with our OLED touch controllers and are excited by the growing opportunity in front of us. In our PC business, we continue to benefit from strong laptop shipments with our sales up nearly 20% compared to a year ago. Our PC sales did decline about 10% sequentially due to temporary component constraints that delayed our customers' ability to ship as many units as originally expected. We expect this issue to be resolved and sales of our touchpads and fingerprint sensors to continue their recent strength going into our December quarter. Our PC team secured a number of new design-wins this quarter, including a new Acer Chromebook that features our high-performance touchpad. We are currently developing our next generation of touchpad solutions which span consumer to enterprise class notebooks. These products bring high-performance capabilities to more cost-sensitive consumer devices, such as Chromebooks, while still maintaining strong margins and are expected to ship in calendar 2021. We are also seeing additional growth opportunities as PC OEMs incorporate larger, more intelligent touchpads with haptic and force feedback which will significantly increase our dollar content in each laptop. Overall, I am pleased by the start to our fiscal year and the strong pipeline of design wins across all of our businesses that are leading indicators of growth to come. Our relentless focus on improving our operational efficiencies continues to pay dividends as we become a stronger, more resilient company able to deliver profitable growth going forward. Now let me turn the call over to Dean to review our first quarter financials and provide our outlook.
Dean Butler: Thanks Michael, and good afternoon to everyone. First, I'll start with a review of our financial results for our recently completed quarter, then provide our current outlook for our fiscal Q2. Before I begin, I'd like to remind everyone that at the beginning of our first quarter, we completed the acquisition of certain rights to Broadcom's wireless IoT connectivity business on July 23rd and closed our acquisition of DisplayLink on July 31st. Our guidance given on August 5th and our results for the quarter include the contribution from these businesses as of the date of their respective close. Revenue for the September quarter was $328 million, above the mid-point of our guidance. First quarter revenue was up 18% sequentially, reflecting strong demand for our IoT and Mobile products, partially offset by a sequential decline in PC. Year-over-year, September quarter revenue was down 3%, driven by a decline in mobile revenue as our prior fiscal year still included our now divested TDDI business. During the quarter, we had two customers above 10% of revenue, at 13% and 21%. Revenue from Mobile, IoT and PC were 40%, 35% and 25%, respectively, in the September quarter. Revenue from our Mobile products was up 11% sequentially as we began to support the ramp from one large OEM and was down 28% compared with the year-ago quarter, where the year-ago quarter results includes revenue from our now divested TDDI business, on an adjusted basis our Mobile revenue is up 25% vs one-year ago. Revenue from our IoT products was up 68% sequentially and 30% year-over-year same quarter as our IOT related end markets begin rebounding from their lows and now incorporate revenue contributions from the recent two acquisitions. Revenue from our PC products was down 10% sequentially as our customers experienced some modest component shortages during the quarter; this business was up 19% year-over-year as work-from-home demand continues to drive PC sales globally. For the September quarter, our GAAP gross margin was 41%, which includes $18.7 million of intangible asset amortization, $9.8 million in acquisition related inventory step-up charges, and $800,000 of share-based compensation costs, partially offset by $600,000 of recovery on a previous supply commitment. GAAP operating expenses in the September quarter were $128.5 million, which includes share-based compensation of $20.7 million; acquisition and integration related costs of $9.1 million, consisting of intangibles amortization and one-time legal and integration costs; restructuring & severance related costs of $5.6 million; retention costs of $3.9 million; and amortization of prepaid development costs of $1.7 million. Our GAAP tax expense was $3.6 million for the quarter. In the September quarter we had a GAAP net loss of $2.8 million, or a net loss of $0.08 per share. Now turning to our non-GAAP results: Our September quarter non-GAAP gross margin of 49.7% was above the high end of our guidance range and reflects the continued operational improvements in our product cost structures and a better than expected product mix during the quarter. This represents an incredible 1,000 basis point improvement over the past five quarters of results. September quarter non-GAAP operating expenses came in below the mid-point of our guidance at $87.5 million, up $7.7 million from the preceding quarter. The increase reflects two months of incremental operating costs of the newly acquired businesses which are now fully integrated into Synaptics. Our non-GAAP tax rate was 12% for the quarter. Non-GAAP net income for the September quarter was $66.7 million, or $1.85 per diluted share; a 52% sequential increase, and up 63% year-over-year as we continue to focus on profitable growth. Now, turning to our balance sheet, we ended the quarter with $244 million of cash and short-term investments, a decrease of $519 million from the preceding quarter primarily due to the two recent acquisitions, partially offset by the cash provided by operations during the quarter. Adjusting for the impact of acquisition-related items, cash flow from operations would have been approximately $64 million. Receivables at the end of September were $228 million and days of sales outstanding was 62 days, while days of inventory was 62 and ending inventories were $115 million, which includes $16 million of acquisition related step-up charges. Capital expenditures for the quarter were $3.9 million, and depreciation was $5.2 million. Now, turning to our outlook for the second quarter. Based on our backlog of approximately $314 million entering the December quarter, subsequent bookings, customer forecasts, product sell-in and sell-through timing patterns, as well as expected product mix, we anticipate revenue for the December quarter to be in the range of $340 million to $370 million. We expect the revenue mix from IoT, Mobile, and PC products in the December quarter to be approximately 41%, 34%, and 25%, respectively. I would like to highlight that this is the first quarter in which our IoT products are expected to represent the largest percentage of the company's revenue mix, surpassing Mobile for the first time. Our IoT business represents an important opportunity to drive high-margin revenue growth for the company, targeting a broad and fast-growing TAM. The continuing growth of IoT significantly accelerates our diversification away from mobile and reduces our customer concentration longer-term. I will now provide GAAP outlook for our December quarter and will follow with non-GAAP outlook: We expect our GAAP gross margins to be in the range of 39.0% to 42.0%. We expect our GAAP operating expenses in the December quarter to be in the range of $119 million to $125 million, which includes acquisition related charges for intangibles and prepaid development cost amortization, stock-based compensation, restructuring costs, and the completion of our prior retention program costs. We expect our GAAP tax expense for the second quarter to be similar to our first quarter GAAP tax expense. Finally, we expect our GAAP net income per share for the second quarter to be in the range of $0.00 to $0.35. Now for the non-GAAP outlook for our December quarter: We expect non-GAAP gross margin in the December quarter to be between 49.5% to 51.5% as higher contributions from our IoT products continue to drive improvements. This marks what we anticipate to be the first quarter in seven years to achieve greater than 50% non-GAAP gross margins. We expect non-GAAP operating expenses in the December quarter to remain flat quarter-over-quarter and be in the range of $87 million to $90 million as we fully integrate the expenses related to our recent acquisitions offset by our on-going cost controls. We anticipate our long-term non-GAAP tax rate for fiscal 2021 to continue to be in the range of 11% to 13%. Non-GAAP net income per diluted share for the December quarter is anticipated to be in the range of $1.95 to $2.25 per share. To conclude my remarks, Michael and I joined Synaptics just over a year ago and the actions we took have delivered improved operational efficiencies and built a strong foundation for profitable growth. And while we have achieved significant financial milestones in a relatively short period, we are still in the early stages of the transformation that will enable Synaptics to deliver strong profitable growth going forward. This wraps up our prepared remarks, I'd like to now turn the call over to the operator to start the Q&A session. Operator?
Operator: [Operator Instructions] First question comes from the line of Charlie Anderson from Colliers Securities.
CharlieAnderson: Yes, thanks for taking my questions and congrats on the continued progress and strong results here. I wanted to ask about IoT, obviously being so strong in the go forward commentary. It sounds like that is both acquisitions performing well. But I wonder maybe if you could talk a little bit about maybe just the trajectory of the IoT business that you bought from Broadcom? Then if you want to talk about gross rate or anything else in terms of our expectation there in terms of how you expect that the trend over time, then I've got a follow up.
MichaelHurlston: Hey, Charlie, yes, no, thanks for the compliments. We've obviously feels super good about the Broadcom wireless business that's far exceeded our expectations. I think our initial number when we made the acquisition was around $65 million. And we're far outstripping that so we feel good about where it's going. It's broad based in terms of the design wins, I think I made some comments to that effect in my remarks. It's going into traditional customers that we picked up which were Google and some other telecommunications customers. But now we're getting this broad base of design wins going where we see the products going into drones and ebikes, golf range finders, things of that nature. So we are - we're really, really happy with how that business is performing. And I think it's going to be a good story for us across the balance of the four quarters this year.
DeanButler: Yes, Charlie, maybe I would add that the two acquisitions are both performing extremely well. But many of our designs in recent quarter results and guidance around some of our base business that's really being driven a lot by work from home products, telecommunication, video conferencing, around our audio products, adjacencies products.
CharlieAnderson: Great, thank you for that extra color. That's excellent. So for my follow up, I was curious on the PC market, obviously identified some of the supply challenges there. But it looks like it's going to be strong here in the September quarter. Maybe if you could just remind us how we should be thinking about the PC end market as we navigate the rest of the pandemic and work from home situation finishing out this year, then enter next year, if you have any thoughts there. I know we're sort of in uncertain times here. But whatever you can share be great. Thanks.
MichaelHurlston: I'll try. I mean, I think we had said previously that we see this continuing to run into the first calendar quarter of next year. And I think that's holding up and probably now we can feel better about even extending that runway. We continue to believe that eventually this will return to more of a steady state. I think the December guide, as you correctly said, indicates a lot of strength in the PC business. And I think that's the case. I think we see that continuing in the March quarter. We're seeing signs that continue even into the June quarter. But again, I think it will return to a more normal run rate here at some point, which just it keeps the runway keeps extending which is good news.
Operator: Next question comes from Raji Gill from Needham.
RajiGill: Yes, congrats as well. Question on the gross margins. Excellent job on exceeding 50% gross margins so for the guidance, December 50.5%. Now that we've kind of exceeded the 50% range, given the mix of business that you have, with mobile, IoT, PCs, is there another leg in the gross margin story? As you kind of progress throughout fiscal year 2021 and fiscal year 2022? And how should we think about kind of the next stage with respect to gross margin?
DeanButler: Yes, it's a good question, Raji. So what we've always said is 50% is our target, but we're not stopping there. We're certainly not satisfied with getting to 50% and holding, we do think have a little more legs on it. It really, it's around, the growth on our IoT business really, which carries the higher gross margins for us, that's really been kicking on as of late. That other element is, I mean, although we've increased that 1,000 basis points over five quarters, that's certainly not sustainable at some point. It'll level off and we can't keep adding, one two points a quarter. But we were not satisfied stopping here. And we do think there's probably a little room to keep running.
DeanButler: I mean, I think Raji, Dean said in his remarks, I think, two good things have happened for us. One is the continued improvement on gross margin, and two is the mix shift toward IoT. And the two go hand in hand. Our IoT business is strong; we put a lot of emphasis around that. We obviously want to keep our PC business and our mobile business running, but we want to have the IoT business at be the kind of the growth driver. So as long as that continues to be true, we see pretty good - a pretty good tailwind on the gross margin story.
RajiGill: And from my follow up, excellent momentum on OLED touch controllers in the smartphone market. Want to get your sense in terms of these 10 new smartphone designs that you have as well as the flagship customer. How do we think about the OLED attach rate in 2021? And any sense of kind of what they are this year? And are the attached rates of OLED tied to kind of the upgrade cycle we're seeing in 5G which has just been, phenomenal in terms of the number of units that are coming - that are being generated in 5G smartphones? Do they go hand in hand?
MichaelHurlston: I think the answer to your second question is simply yes. Most of - most every OLED, flexible OLED is panel is tied to a 5G handset. Now that being said, what we are seeing and that this was the first part of your question is that the flexible OLED is pushing down the skew stack. So we're seeing now flexible OLED go from the very high end premium phones that Chinese handset makers to more mid tier. And that's the comments in the prepared remarks that we talked about where we see an increasing attach rate. It's we're pretty saturated at the high end, but we are starting to see flexible, on-cell OLED pushed down the skew stack. And we think that's going to be good news for us.
RajiGill: And just a follow up on that any update in terms of the OLED TDDI solution and how that will change the dynamics in the smartphone industry?
MichaelHurlston: We, I think that we sort of hinted at this in the comments. Obviously, there's an ASP ratio between our display driver and our Touch controllers. And as our mix shifts towards Touch controllers' top line is impacted because I would say we've been talking about sort of dollar-ish ASPs on Touch controllers and somewhere in $3. And up if we talk about OLED DDIC. Our job, Raji, is to get our OLED DDIC business up and going again, we think our best vehicle to do that as TDDI, we are actually seeing some interesting traction, we've got some new products that we're getting set to introduce to customers just around DDIC alone. And we think that also could help. But we have to do that. And I think we're still on track for kind of mid next year for some of those introductions.
Operator: Next question comes from the line of Kevin Cassidy from Rosenblatt.
KevinCassidy: Yes, thanks for taking my question. And I also congratulate you on great results, especially the gross margin line, the question on the two new service providers that you have in Asia and Europe. Congratulations on that. Any chance that there's any attach rate of some of your new products with those or is that just the SOC?
MichaelHurlston: Good question, Kevin. I think it's just the SOC. I think in both cases, it's just the SOC. But we are starting to see what we talked about, particularly with you in the announcement of the Broadcom acquisition we are being able to couple the wireless asset with our edge-SoC. I think in these two cases, that's - it's actually disaggregated. But we've got a pretty strong pipeline in there; it's more of a bundled play. And that's part of the reason we think our wireless business is really, really going to do well for us across the remainder of the year.
KevinCassidy: Okay, great. And you touched on my follow up question was, your funnel for new designs. Are they, I guess how far along since you had these two wins as a kind of cadence of two wins every quarter? Or are they more spaced out?
MichaelHurlston: I think we accelerate. I mean, we feel really good about a couple of things in the service provider market. We have a set of new skews that are coming out from the service providers as they try to get into more consumer types of devices. You've got video conferencing panels that are coming out, you've got sound bars that are coming out, you've got over the top streamers are coming out. And we seem to be doing pretty well there. The combination of our audio performance far-field voice in our video display capability is giving us a good leg up in those more niche markets. But we're also feeling good about our trajectory and core set top box. We think that we've got the right mix; we're getting set to introduce some new products to the market. And that hit an interesting cost point. And we think we can start clicking off wins in significant set top box customers as well. So it's a mixed story, but I think our trajectory is going to accelerate in that business as we keep talking to you across the remaining quarters of this year.
Operator: Next question comes from the line of Ambrish Srivastava from BMO Capital markets.
JamisonCrone: Hi, guys, this is Jamison calling in from Ambrish. Thanks for taking the question. So the first thing I wanted to ask you guys about is the guidance is very impressive for next quarter. It seems like you guys are well on your way with design wins and long-term plans with your portfolio diversification. But looking forward, do you anticipate IoT to continue to be a larger portion of revenue larger than mobile going forward and beyond this guidance?
DeanButler: Yes, Jameson, good question. So we rolled out earlier this year a vision of actually driving our IoT business to the largest component of our revenue contribution going forward. This is the first quarter that we've gotten there, that IoT has actually exceeded our prior mobile position. And we are going to continue to focus on IoT. That's where we think we have the greatest growth potential. It's where we can garner the most, gross margin and profit potential going forward. So in short order, yes, we do see IoT continue to be the largest portion of our revenue going forward.
JamisonCrone: Perfect, and then follow up. Just looking at your guidance for mobile, around $120 million. This would imply that mobile is going to be down year-over-year, I think, even excluding TDDI. So I'm just curious on why that sequentially, when seasonally it's tends to be up is this mostly due to the TDDI divesture? And if so, how should we think about mobile seasonality going forward as well as little longer-term trends?
DeanButler: Yes, so I alluded to it in the prepared remarks on an adjusted excluding TDDI for a year-over-year basis, our mobile business actually up 25%. So I think we're on the right trajectory from a year-on-year look. But we do have a little bit of transition between OLED Touch controllers versus more historically, the LCD display drivers. So there's a bit of a transition right now. But there's a nice base for us around these LCD display drivers, which has a nice stable revenue base that we can grow our Touch controllers from.
Operator: Next question comes from the line of Christopher Rowland from SIG.
ChristopherRowland: Hey, guys, congrats on the nice quarter. My question is around DisplayLink, you guys broke out the contribution or the revenue run rate for 2019. But I was wondering if we could get an update with one quarter to go maybe, on what 2020 is looking like, and what kind of growth we've seen year-over-year there. And then also, I think you talked about DisplayLink. I think he bought it for $305 million, but I just read the 10-Q quickly, and I think it said $443 million, just wanting to reconcile that and make sure that I read that correctly. Thanks.
DeanButler: Yes. First, Chris, let me just give you a quick accounting one. So yes, the purchase price was $305 million. On the Q, it'll say the $443 million which is a difference between the one for one, cash purchase that was actually part of the company when we acquired it. So think about that as market cap versus enterprise value difference, the cash that we acquired when we closed that business. So that's the basic bridge. I think in the Q, you can see that breakdown. On the DisplayLink in sort of growth updates, that business continues to do well, it's on par for what we had expected, when we announced the deal transaction. There are, it's too early for us to say what a full year contribution might be, it is of course, is in this dynamic around your work from home and PCs, and how that market evolves, which is a bit volatile from our perspective, right now, as you can see from our PC, quarter in Q1, and then how we're getting into Q2, there does seem to be a little bit of volatility within that PC market. And of course, that DisplayLink businesses, somewhat attached to a PC market. So I think it'd be a little early for us to sort of give guidance on what that full year looks like. But we do feel good about it.
MichaelHurlston: Yes, remember, Chris, our fiscal year starts July 1. So we're actually, only one quarter of the way through you said, year-end December, we've got a little bit of ways to go. What I say about the DisplayLink, in addition to what Dean said is we've got these interesting set of wins that have developed around these video conferencing panels that are appearing everywhere that we talked about it in the prepared remarks. People like Paulie and Bose are launching, video conferencing, pap panels and the video compression technology that DisplayLink offers is perfect for those kinds of applications. So we've certainly seen very, very good strength in the traditional docking station business. And then we've seen this new layer as we get into more video conferencing like applications where DisplayLink technologies a nice fit, and we didn't quite appreciate the number of design wins that the team had won when we acquired the business, but it's fairly appreciable.
ChristopherRowland: Great, thank you. Thank you, Michael. And appreciate that clarification, Dean, as a follow up, just on the PC side of things. You talked about a temporary component constraint, perhaps more detail there? Is this a PC OEM? Or is this something more in the supply chain itself? And then also, Michael, you talked about PC dollar content today. And that increase when we go to things like haptics, for example? Where are we today? And where can we go on that side? Thanks.
MichaelHurlston: And maybe I'll take the second part of it. Dean can talk a little bit about the supply chain issues. In certain instances, we will sell the entire touchpad to a PC OEM. And a traditional sort of two inch by three-inch touchpad, all in maybe somewhere in the $8 to $10 range. As you get into these larger pads that we described with haptics and force involved, you're talking about ASPs that are on the order of three times higher. So it's a significant step up that we can get. Those are very prevalent today in Mac; we don't participate in that business at all. But you can see that's set a trend that the other PC OEMs are trying to follow. And in that context, we feel good about an increasing attach rate. And in that increasing attach rate, we think we can step up our content by somewhere on the order of 3x. So it's a pretty big step up for us. And, again, attach rates are very, very small right now, but we think that'll increase.
DeanButler: Yes, and Chris on your question around the PC supply chain. We did notice that we had what seemed to be a couple of components shortages on the OEM side within their supply chain. It was mid quarter and the September quarter where we noticed a lot of softness where it seemed like they were having issues, getting all of the components that they needed, relative to our initial expectations. What I will say is in recent weeks, and at the end of our September quarter, that business really took off again, and our backlog continues to remain strong. So we think there was probably just a transitory component that was causing them short term issues.
Operator: Next question comes from the line of Harrison Barrett from Arete Research.
HarrisonBarrett: Hi, thanks for taking my question, guys. So you mentioned the move into some Chromebooks coming in calendar 2021. Is this an opportunistic move? Or you are going after significant business here? And then, so if we take that along with your existing business in PC, which is clearly staying stronger for longer? Do you think that puts your stable PC run rate much higher going forward when all the dust finally settles?
MichaelHurlston: Fair question. I think historically, we have not been indexed heavily to consumer notebooks in general and Chromebook in particular. And we see the Chromebooks now particularly as sort of a segment of the market that are trying to pick her up higher performance components, touchpads in some degrees, fingerprint sensors. And that represents a growth opportunity to your point, that coupled with what we talked about with Chris on the last call, the larger touchpads and haptics and force, we do think that there is an opportunity for us to gain market share, I'd say Chromebook is going to be a market share gain, because we haven't historically played there. And then increase content in our existing base, which are primarily commercial notebooks. So in a dynamic where we do believe that PC will eventually settle to a new normal, we have opportunity to grow off a base that could be changing in the back half of the year potentially, potentially not I mean, it's we keep calling it as something that's declining so far we see no signs of slowing, we just feel like it won't continue. So we've been cautious in terms of providing color. But in that cautiousness certainly unique to us, there's some growth dynamic, Harrison.
HarrisonBarrett: Thanks, that's very helpful. And then just as a follow up, looking at the December quarter guide, you're seeing OpEx pretty much flat. When do you think this takes back above $90 million? Or do you think you can keep it down at this level going forward? And then just looking at the implied EBIT margins from there, you're looking at 25% plus at this stage, are there a road to 30%?
DeanButler: Yes, so on OpEx question, yes, it is down below $90 million is sort of our view. We've done a great job of since Michael and I joined. And even prior to Michael and I getting on board is actually starting to rationalize the cost structure of the company. We've gotten it down below this $90 million mark before the acquisitions; I think we hit the $80 million mark. And now that we've been a position to absorb these two recent acquisitions, we think we can continue to hold it down below this $90 million mark, and we don't see that changing anytime soon. And you're right, the operating margin for the EBIT on the non-GAAP side is roughly 25 points at the midpoint, if you sort of do the math, plus or minus, I would say going forward can we drive to a 30% as part of your question? That's really going to depend on; can we get the IoT revenue and the scale around the company to get there? I think if you look across the semiconductor landscape, there are not many companies that are at the 30% EBIT level, and those that are have significant scale. And so we would love to it gross specifically our IoT business, which comes with higher gross margins, and faster growth rates, to sort of to get us there to that scale level.
Operator: Next question comes from the line of Martin Yang from Oppenheimer.
MartinYang: Hi, thank you for taking my question. First on your Chromebook opportunity. You mentioned that you can attack at this market with a reasonable margin. Is that due to your operating efficiency, improvements, or was that more due to a different design for Chromebook products?
MichaelHurlston: Martin, it's both. I would say the lead headline is operational efficiency; we've done a good job in our operations team, focusing on the cost of these pads and taking cost out not only of our IC that drives it, but all the other componentry that goes around it. So I'd say that's the lead headline. But we also came up with a more cost-efficient design for Chromebooks. And that's helped as well. So it's a little bit of both. But I'd say for the most part, it's been costs that we've been able to take out on an operational basis.
MartinYang: Got it. And also another question on potential component constraints and supply chain bottlenecks. Do you see any potential affecting other of your segments like mobile or IoT?
MichaelHurlston: So far, I would say external component shortages, we've not seen. We definitely in the semiconductor supply chain, there are some tight spots. And we continue to work around that, our guide obviously contemplates some of the tight spots that we've seen in the semiconductor supply chain itself. But external factors I think that's the gist of your question, Martin. I don't know if Dean has any color. But we, I don't think we've seen anything other than the blip that Dean talked about in the PC segment last quarter.
DeanButler: Yes, we don't see anything that we'd specifically highlight. But if there are other shortages that were out there from an industry landscape, it wouldn't necessarily surprise us, given that what we can see on the semiconductor supply chain side right now.
MartinYang: Got it. Would you able to tell us how would December looks like for PC without the constraints?
MichaelHurlston: So for a PC specifically, we don't - we factored in the any constraints that we know of today into our December quarter guidance. We, from what we are able to align with all of our suppliers and vendors. We think we can fulfill the demand that's out there for the PC for the December quarter.
Operator: The last question comes from the line of Jason Getz from Mizuho Securities.
JasonGetz: Hey, thanks for taking my question. I just want to follow up on a couple of comments from earlier. You had mentioned your flexible overhead moving from the premium down to the mid care skews. I was wondering as you move down that skew stack if you're seeing any ASP pressure there and then any impacts to gross margins that may have?
MichaelHurlston: Yes, there are. I mean there is a little bit of ASP pressure as you move down the skew stack. We've done well, as I think we've characterized in previous calls our gross margin and in the business overall is good. So even with the pressure, I think we're holding up relatively well. But yes, as you move down, you're moving down into more cost sensitive areas. And there's going to be a bit more pressure on ASP than you see in the high-end phones.
JasonGetz: Great, thanks. And then as a follow up, I think last quarter, you had mentioned you expected the DisplayLink and Broadcom businesses to add about $30 million to the September quarter top line. Sounds like it came in a little bit better than that, but I was wondering if you could give an idea of where they came in for September and kind of how you see that mix versus legacy and OpEx going forward?
MichaelHurlston: Yes, we're not breaking out the numbers specifically in our guide going forward. What I will say as we broke it out last guide, given it was the first time that these businesses have been incorporated. We had closed on these businesses, I think a couple of weeks just prior to our announcement. And for the September quarter, they came in right out where we expected. I mean we weren't surprised sort of either way. What we are surprised on is going forward we do see actually these businesses on a combined basis doing a little bit better than what we originally expected. So I would say only good news from our vantage point.
Jason Tsai: Thank you for all the questions. I'll now turn the call over back to Mr. Michael Hurlston.
Michael Hurlston: I'd like to thank all of you for joining us today. We look forward to speaking you at our upcoming virtual investor conferences during the quarter. Thanks a lot.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.